Operator: Good morning, everyone, welcome to the Dundee Corporation First Quarter 2022 Results Conference Call. Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks and uncertainties relating to Dundee Corporation's future financial or business performance. Actual results could differ materially from those anticipated in those forward-looking statements. The risk factors that may affect result are detailed in Dundee Corporation's 2021 Annual Information form and other periodic filings. You can access these documents under the company's profile at www.sedar.com. I'd like to remind everybody that this conference call is being recorded today, Thursday, May 12th, 2022. On this call, management of Dundee Corporation will be quoting dollar figures. All figures are in Canadian dollars unless otherwise noted. Participating on this call will be Mr. Jonathan Goodman, President and CEO of Dundee Corporation; and Lila Manassa Murphy, Executive Vice President and CFO of Dundee Corporation. At this time, I would now like to introduce Mr. Jonathan Goodman to provide an update on the quarter. Please go ahead, Mr. Goodman.
Jonathan Goodman: Thank you, operator. I think we're going to change up this strategy of the call a little bit in this call and that some of the feedback that we've got is -- shows they would like to learn more about strategy and where we're heading. So I'm going to try and cover that, and then I will turn it over to Lila, who will cover, obviously, the financial statements. Lila Manassa Murphy, our Executive Vice President and CFO, and as well as some of the progress we've made on some of the other strategic objectives in the quarter. So to start with, as a mining investment team, in our firm, we have over 12 mining investment professionals. And these professionals have different areas of expertise. We've got people who are expertise in geology, people who are experts in mining, metallurgy. We have people who are experts in environmental sciences, finance, projects, construction, investment banking, investing. We have people on our team who have operated mining. We have people who ran mining companies, and we have people who have built mines. Our investment style is more conducive to being like in a corporate development style. As you would see on many actual mining company, we've got corporate development departments. We operate -- we tend to operate like that. When we look at a company on business, and we easily signed an NDA, non-disclosure agreements or a confidential agreement. And with that, we then look at the data that the company has. And in most cases, we download the data, we deconstruct that data and then we reconstruct the project using -- in many cases, with a more conservative assumption. It is this process, which gives us the ability and conviction to be able to take larger positions in our liquid companies. For many cases, as we make our investments, we also asked for a Board seat. And with that, we share all of the work we've done with the company. We try to use the vast experience of our team to help these companies deliver better outcomes. So I guess there is a joke I always make that if there is a mistake that we've made in our past, we have the ability to warn them not to make that same mistake. I want to share with you some of the thinking or thought processes and the Big River Gold story and how that's evolved. When we did our work on Big River, I think several years ago, the first thing we noted was that they had planned to mine about one-third of their 2.4 million ounce stated resource, which, obviously, we thought that was quite low, and we thought there was a potential opportunity to -- at some point [Technical Difficulty] I apologize for the background noise. So we recognize that there's opportunity down the road, hopefully, to potentially expand this mine. But we did feel that originally looking at a 2 million tons of your operation, was a very conservative, compared to the size of the resource. We also thought that the capital cost that they use -- that they're estimated to build the mine was too low. That said, we did like the ore body and we wanted them, we made the investment, and we asked Adrian Goldstone, one of our very valued team members, to go on the Big River board. And our goal there was to Adrian to be able to introduce the company to some of the independent engineering groups that we've worked with over the years and that we had -- we know where their A-teams are so that the company can go out and get more reliable estimates and eventually put out what we hope would be a better study. On April 1st of this year, Big River put us a press release updating the cost of their feasibility study. And these are their numbers, of course, from their press release, but their projects that they stated had an internal rate of return of 29% at $1,700 gold and an NPV -- an after-tax NPV of $217 million. As we moved on over the course of time, we were approached by Aura Minerals, who is a company that has Brazilian assets. The senior management of the company are Brazilian and they thought the company would be a good fit. And we noted that with them that we really did like the project, and we were 20% shareholder, I guess, about 19 [indiscernible] is where we own and that we would like to remain around the 20% level, but we were happy for them to buy the other 80% of the project. We spent a lot of time with the management and also met with the Chair of Aura Board. And as we got to know them, we realized that they were an excellent company, and we thought they would make an excellent partner in the project. And we noted that not only do we feel that our interest would potentially align, we also felt that the shared set of value there. And so we are very much looking forward to partnering with Aura on this deal. More importantly, as this mine gets built, and I think the first step we're going to do once Aura buy this is work with Aura to redo a study to get numbers that we all buy into and hopefully then work with them to build a mine. And that will provide a very excellent stream of cash flows for Dundee Corporation. More importantly, we think that this model is replicable and we intend to pursue more deals like this. And as investors, we know that you need the research. Junior mining stocks tend to trade at somewhere between 10% and 30% of the ultimate NPV. And often, we all know that those NPVs turned out to be wrong. But our strategy is that if we can do our homework and really do the work, there are several ways to get NPV out of the project. The historical way which was always to sell the project because junior mining stocks or mines tend to trade historically around NPV and for most of my credit trading at premium to NPV and trading at premiums, they're probably worse in most cases -- in many cases, premium to NPV. And that is when you look at a mine, very often I usually use these examples, the mine when I was at Dundee Precious Metals, our mine at Chelopech, when we bought it, had about seven or eight years of reserve life. And today, which we bought it in 2003, so 19-years ago, and today, it still has, I believe, somewhere around 10 to 12-years of reserve life, and we mined it for 19-years. Mines often can go much longer than that initial resource and reserve life that we developing 90 models, that’s problem that. There are reasons. But the other way of getting is if you can't sell it -- we're in a market where you can't sell is to actually be part of the team that build the project and own the project, when you get that stream of cash flows, which is the component that makes up the NPV. And from our perspective, that's not only the strategy that we would like to pursue, it's also a strategy of our reward as well, as we move forward. Of course, the goal is to make sure we continue to team and do our job right. So that's kind of the outline of the strategy part. And I'm going to hand it over to Lila now to talk about the quarter.
Lila Manassa Murphy: Thank you, Jonathan. Thank you. Good morning, everyone, and thank you for joining us this morning. After that, very fulsome update on our corporate vision and strategy, I would like to now give you a financial role for this past quarter for the company. But before I do that, I would like to congratulate the Dundee team for a quarter of solid investment success. I am very pleased that we have begun to rebuild our capital base through prudence and well-researched investments, particularly within the context of a very uncertain global backdrop. Dundee Corporation incurred a pretax profit of $31.1 million in the first quarter of 2022. And that is compared to a loss of $19.7 million in the first quarter of 2021. As I mentioned, the key driver this quarter was a $46.6 million gain in our consolidated investment portfolio. The company generated consolidated revenues of $3.8 million compared to $5.3 million in the first quarter of 2021. The market value of our publicly traded securities increased to $170.3 million as of March 31, 2022 from $113 million at December 31, 2021, representing almost a 50% increase quarter-over-quarter. Net income from our portfolio investments excluding GCIC was $45.7 million in Q1 of 2022, and that compares to a loss of $11.1 million in the first quarter of 2021. The notable positive performance in the quarter came from gains in the Union Gold of $26.3 million and Centaurus Metals of $5.5 million. During the first quarter of 2022, the company invested $19.5 million in new and existing positions in its corporate portfolio. The net gain from investments during the first quarter of 2022 includes $1.8 million in dividend and interest income distributed from our portfolio investments, compared to $700,000 a year ago. Turning to our operating subsidiary performance for the quarter. Goodman & Company, Investment Counsel or GCIC Assets under management increased from $57.9 million in Q4 2021 to $64 million in Q1 2022. During the first three months of 2022, GCIC raised net capital of $13.2 million from launching a new tax-assisted limited partnership, the CMP 2022 Resource Limited Partnership. Redemptions of AUM during the same period of 2022 were $7.2 million. During the first quarter of 2022, this segment recognized a pretax loss of $323,000 compared to pretax earnings of $159,000 in the year ago period. Blue Goose incurred a pretax loss of $28,000 from continuing operations. As a reminder, the Blue Goose beef division was sold in 2021, for aggregate proceeds over two transactions of over $70 million. $2 million was received in Q3 of 2021 and around $63 million was received in Q4 of 2021. In the quarter, we settled the cattle holdback for proceeds of $2.3 million. Turning now to UHIC. UHIC reported a pretax loss of $300,000 in Q1 of 2022, as compared to $9.8 million in Q1 of 2021. And as you will recall, last quarter, we reduced the carrying value of both the royalty and the contingency payment to zero. Despite rising oil prices, the environment in Chad remains very, very uncertain. The company's carrying value of its 84% interest in UHIC is approximately $3.2 million as of March 31, 2021. Dundee Sustainable Technologies incurred a pretax loss of $700,000 in the first quarter of 2022, compared to a loss of $800,000 in the first quarter of 2021. First quarter 2022 revenue for DST was $1.1 million, which increased from $700,000 in the prior year period. AgriMarine reported a pretax net loss of $1.1 million in the first quarter and sales revenues of $1.3 million, which compares to a loss of $900,000 and $1.5 million, respectively, in Q1 2021. During the first quarter of 2022, Dundee 360 generated pretax earnings of $500,000 compared to $67,000 in the year ago period. Now for a bit of a head office summary. The first quarter of 2022, consolidated G&A, which includes all of our subsidiary G&A, inclusive of stock-based compensation, was $6.1 million compared to $6.7 million from continuing operations a year ago. We know we have a lot more work to do here, but we are continuing to make progress. Head office G&A, excluding stock-based compensation for Q1 of 2022 was $2.7 million compared to $3 million in Q1 of 2021 year-over-year. We ended the quarter in a very solid liquidity position. At quarter end, we had $76.2 million in consolidated cash versus $93.9 million at the end of Q4 of 2021. We received correspondents from the CRA, which maintains the audit reassessment -- which maintains an audit reassessment and we are preparing a response to the Appeals Division. We continue to have $13.8 million on deposit regarding the 2014 to 2016 tax years. This amount is separately disclosed on our balance sheet as a deposit with taxation authority. That concludes my comments. Back to you, Jonathan.
Jonathan Goodman: Well, thank you very much, Lila. Once again, I'd like to thank all of our employees for the hardware for the quarter [Technical Difficulty] still in the pandemic rate environment, which seems to be the new normal. And I'd like to take your time to open it up for questions.
Operator: [Operator Instructions] Your first question comes from Brett Reiss of Janney Montgomery Scott. Please go ahead.
Brett Reiss: Hi, Jonathan. Hi, Lila.
Jonathan Goodman: Hi, Brett.
Lila Manassa Murphy: Good morning. Good morning, Brett.
Brett Reiss: Good morning, good morning. With interest rates moving up in the United States, has that created an opportunity to maybe buyback some of the preference, preferreds at a bigger discount, right?
Jonathan Goodman: Well, they're not really trading at a bigger discount yet. So we're still doing a lot of work, Brett, on what our capital needs are going to be with the strategy that I just discussed. And so we have not -- we have an issuer bid, and we certainly do look at it and talk about it a lot. But before we step forward and buy other common shares or preferred shares back, we're doing a lot of work with our Board right now on making sure that we have enough capital to meet our needs.
Brett Reiss: Okay. Do we still --
Jonathan Goodman: We think we do but we just want to finish that.
Brett Reiss: Okay, do we still have the investment in Android?
Jonathan Goodman: Yes, we do.
Brett Reiss: So with the new normal that supply chains maybe want to come closer to home and this business with moving more to electric cars. Do those two trends -- are those headwinds or tailwinds for the value of our Android investment?
Jonathan Goodman: Lila, do you want to take a stab at that or should I?
Lila Manassa Murphy: I can take that question, sure. And I think the answer is a bit of a mixed picture. EV is certainly a tailwind for the company. The company is -- does partake in that business. I think near-term, the supply chain is certainly a challenge. I think the flip side of that is significant future growth opportunities and a bit of a hockey stick of growth for the company going forward because there is a great deal of pent-up demand in the auto market for new cars. So we remain -- even though Android, we consider it to be non-core, we remain extremely constructive about the company's prospects going forward. They have done a fantastic job of managing the things that are within their control and they had a very good 2021.
Brett Reiss: Okay. And one last one. Jonathan, there's a lot of buzz about companies trying to develop lithium carbonate. Is that something you've looked at as a potential opportunity for the company? Or is it a smoking mirrors?
Jonathan Goodman: Well, I wouldn't suggest it's smoking mirrors. I mean lithium is a very much key component in the batteries that goes into a Tesla or an electric cars, but let's recognize that over the course of my career, which is pushing 33-years of doing this, lithium is still a little different than a lot of other commodities. And so from our point of view is when you look at the Elon Musk once quoted, saying, "I don't know why they call the lithium, but butteries have a lot more nickel in it than lithium." Nickel is the base metal, which we're much more comfortable with -- because it tends -- so rather than -- it's definitely not smoking mirrors, but we don't have a lot of experience on lithium. So before we would do something, we would spend a lot of time learning, trying to get some experience, trying to understand more about how its mines, the pros, the cons et cetera. And the way we attacked the battery metal world is more to traditional basement of the own an interest in a company called Centaurus Metals, which is developing a very exciting nickel project in Brazil, and that nickel's going to go right into the same battery beside the lithium, and it's a much more traditional in the way it’s minded and traditional, I mean, they mine it by ways that we're very comfortable with and bring some expertise to the table. We also own a company -- a junior company called Magna Mining, which is developing a nickel, cobalt, platinum, palladium and copper project called the Shakespeare Project in the Sudbury area, which is a very prolific belt of rocks. And we also have an investment in a company called SPC, Sudbury Platinum Corporation. So I think we've chosen to attack the battery metal through the parts of it that we already know very well.
Brett Reiss: Great, thank you for answering my questions.
Jonathan Goodman: My pleasure.
Lila Manassa Murphy: Thanks, Brett.
Operator: There are no further questions at this time. I would like to turn the conference back to Mr. Jonathan Goodman for closing remarks.
Jonathan Goodman: Well, I want to thank everyone for participating. And look forward to talking to you next quarter. Thank you very much.
Operator: Ladies and gentlemen, this does conclude the conference call for this morning. We would like to thank you for participating and ask that you please disconnect your lines.